Operator: Ladies and gentlemen, thank you for standing by and welcome to Jabil’s Second Quarter 2014 Fiscal Year Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. I would now like to turn today’s conference over to Beth Walters, Senior Vice President of Communications and Investor Relations. Please go ahead.
Beth Walters: Thank you. Welcome everyone, to our second quarter of fiscal 2014 earnings call. Joining me today are CEO, Mark Mondello; and Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website, jabil.com, in the Investors section. Our second quarter press release, slides and corresponding webcast links are also available on our website. In these materials you will find the financial information that we will cover during this conference call. We ask that you follow our presentation with the slides on the website, beginning with slide two, our forward-looking statement. During this conference call we will be making forward-looking statements, including those regarding the anticipated outlook for our business, our currently expected third quarter of fiscal 2014 net revenue and earnings results, the financial performance for the company and our long-term outlook for the company. These statements are based on current expectations, forecasts and assumptions, involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10-K for the fiscal year ended August 31, 2013, on subsequent reports on Form 10-Q and Form 8-K and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Today’s call will begin with some opening remarks from Mark. We will then move on to our second fiscal quarter results and guidance on our third fiscal quarter of 2014 from Forbes Alexander. We will then open it up to questions from call attendees. I will now turn the call over to Mark.
Mark Mondello: Thanks, Beth. Good afternoon. I appreciate everyone taking time to join our call today. Before I begin I’d like to tale a minute and recognize all of our people here at Jabil. Thank you for your continued commitment and tireless dedication in serving our customers. I want to begin today by addressing three material events we discussed during our December call. These events are the temporary shift in demand within our DMS business, the pending sale of our AMS business and our disengagement with BlackBerry. As we sat together roughly 90 days ago, coming out with a solid Q1 we delivered tough news around volume declines within our DMS segment. On delivering this news top of mind for management was to reallocate assets and resources to new strategic revenue streams as swiftly and thoughtfully as possible. The goal being to return our core operating income within our DMS segment to more normalized levels in fiscal year ‘15. As we sit today the efforts put forward by the team are paying dividends, as we accelerate program ramp during the back half of this fiscal year. We will incur additional upfront production expenses in Q3 and Q4 relative to our plan set back in December. As I look across the various development activities I am confident that we’ll deliver a return on investment, net of our development cost in excess of our hurdle rates for the collective portfolio of these new programs. An illustration of the type of activities currently taking place are, implementing automation for production processes, various advanced engineering activities, hiring and training teams of direct labor, prototyping and repositioning manufacturing assets across the company. As much as I’d like to see better financial results for this quarter I’m comfortable spending money in our development activities to secure new revenue streams for fiscal year ‘15 and beyond. Let me move on to our second material event, the sales of our AMS business. The team has executed a plan and the transaction will close on or about April 1st. I couldn’t be more pleased. Thank you for M&A team and our functional support teams for a job well done. A special thanks to our AMS employees. I wish them all the very best as they prepare for life under the iQor flag. Lastly, a brief update on the wind down of our Blackberry relationship; over the past six months, our team has done a masterful job of working with their counterparts at Blackberry to assure the customer is well served, all while mitigating what was significant potential financial liability. I’m pleased to report that the wind down should be complete by the end of this quarter and the overall financial risk is squarely in the range previously communicated. Thanks to all of those involved, for your focus and effort in delivering an outstanding result. Moving on to our core business, striving for perfect quality and excellent customer service is at the heart of all we do. Our most recent net promoter scores continue to trend in a positive direction, so much so that our scores are at all-time highs across a large percentage of our business. This is significant as it directly correlates to overall customer satisfaction and our ability to realize market share gains. Thanks to the entire team for making this happen. The leadership team for our Enterprise and Infrastructure segment continue to execute well. We’re well positioned in this space as we look ahead to fiscal year ‘15. Our service levels are best-in-class across much of this business. The current macro environment is challenging in the area of enterprise spending for corporations and the federal government. We are seeing positive demand signals in the area of 4G and LTE. Market share gains are consistent but anticipated net revenue growth is modest based on the offset of the current end market headwinds. Our High Velocity segment has a team that continues to bring forward innovative solutions while maintaining tight controls around costs. We continue to enjoy strong customer relationships in the areas of printing, point of sale, digital home appliances and automotive. In combination with running their business with great efficiency the High Velocity team is also celebrating 15 new customer wins. These wins position this segment for another year of solid performance as we exit fiscal year ‘14. Our industrial business remains stable and is very well diversified. The team serves many of the world’s largest industrial brands and global conglomerates. We provide progressive manufacturing and supply chain solutions that positively impact end markets, market such as farming and heavy machinery, smart metering and monitoring, energy, power generation and home comfort and security. Our Nypro Healthcare team continues to advance our service offering and broaden our overall value proposition. What they are doing illustrates creativity, as they look to expand in the new areas of healthcare along with big pharma. The leadership team for our Nypro Packaging sector has realized several new and exciting program wins. These wins are with marquee customers in the areas of food and beverage as well as consumer packaging. All told our team in Clinton, Massachusetts continue to carry the Nypro brand with pride. Integration has gone well but not without lots of hard work and collaboration. We are in the process of launching two new factories within our Nypro division. These factories will support growth in both our healthcare sector and our packaging sector. So what all does this mean if we fast forward five short months? Forbes and I believe that we will deliver core earnings per share in the range of $1.65 to $1.95 in fiscal year ‘15. Let me walk you through our assumptions. We assume we will deliver roughly $300 million to $320 million of core operating income in fiscal year ‘14. These results are adjusted for the removal of our AMS business and our disengagement with our Blackberry business. We assume $65 million of benefit from our corporate restructuring efforts in fiscal year ‘15 as previously communicated. We assume revenue growth from our E&I and high velocity businesses to be GDP light. We also believe these two segments will deliver more normalized margins in fiscal year ‘15 relative to fiscal year ‘14. This would result in incremental earnings year-on-year of roughly $25 million to $45 million for these two segments combined. We assume our industrial, healthcare, instrumentation, packaging and defense and aerospace sectors will have combined revenue growth of roughly 5% to 7% year-on-year FY’14 to FY’15. We assume strong double-digit revenue growth for our intelligent lifestyle and wearable computing business. This growth is reflective of the development activities currently underway within Jabil. We assume solid recovery for the balance of our DMS business. The key aspects of this recovery is the leverage we obtain. We obtained leverage applied to the existing fixed cost base, leverage applied to the absorption of the SG&A and leverage applied to our tax structure which Forbes will address in his prepared remarks. I ask that you think about the impact of this leverage in a manner so much similar to the de-leveraging we experienced last quarter. Our last assumption is that we complete our $200 million share buyback in fiscal year ‘14. All these assumptions most certainly have a degree of risk but on a relative scale we believe our assumption set is well grounded and sound. The summation of this assumption set is what guides us in our belief that we’ll deliver the core EPS in the range of $1.65 to a $1.95 in fiscal year ‘15. We’ve proven time and time again that Jabil is resilient and our long term execution is dependable. It’s my belief that Jabil’s long-term earnings power remains strong. At a time when a typical build to print legacy AMS business is showing flat to modest growth we are most fortunate to have the unique combination of scale and technical capabilities which allow us to embrace specific business opportunities that offer good growth year-on-year. We have incredibly strong relationships with many of the most valuable and innovative brands in the world. In closing, I truly believe we are making commercial and strategic decisions today which will deliver improved valuation over the long term. I’ll now the call over to Forbes.
Forbes Alexander: Thank you, Mark. Before reviewing the second fiscal quarter, I’d like to remind everyone all results associated with our aftermarket services business are reflected as discontinued operations and as such our results for the second fiscal quarter of 2014 in all comparative periods in discussion reflect this treatment. I would note that slide 11 of the second quarter earnings presentation posted on our website reflects operating results for continuing operation for each quarter of fiscal 2013 and the first quarter of fiscal 2014. I now ask you to refer to slide 3 where I will review second fiscal quarter. Net revenue for the quarter was $3.6 billion, a decline of 14% on year-over-year basis. GAAP operating income was $4 million or 0.1% of revenue. This compares to $133 million of GAAP operating income from revenues of $4.2 billion or 3.2% for the same period in the prior year, with the GAAP net diluted loss per share of $0.19 during the quarter. GAAP earnings in the quarter included $36 million of restructuring and associated charges, $6 million associated with amortization of intangibles and $15 million of stock-based compensation expense. Core operating income, excluding the amortization of intangibles, stock-based compensation, restructuring and related charges was $60 million and represents 1.7% of revenue. Core diluted earnings per share was $0.10. Please now refer to slide four. In the second quarter our Diversified Manufacturing Services segment declined in line with guidance by 16% on a year-over-year basis after adjusting for our Aftermarket Services business as discontinued operations. This decline is primarily associated with the lack of revenue demand we discuss within our materials technology unit in our December call. Revenue for the segment is approximately $1.5 million, representing 43% total company revenue. As a result core operating income was 1.8% of revenue. The Enterprise and Infrastructure segment decreased 9% on a year-over-year basis, reflecting declines in enterprise spending seen late in our quarter. Revenue was approximately $1.2 billion, representing 34% total company revenue and core operating income for the segment was 2.5%. The High Velocity segment decreased 18% on a year-over-year primarily as a result of our Blackberry disengagement. Revenue was $0.8 billion representing approximately 23% of total company revenue. Core operating income was $0.3 of revenue. I’d now like to review our cash return metrics and capital expenditures. We ended the quarter with cash balances of $675 million. Debt levels were consistent with $2.2 billion. Cash flow from operations in the quarter was $70 million or $135 million in first half of the fiscal year. Core EBITDA for the quarter was approximately $174 million, representing 4.9% of revenue while our core return on invested capital declined to 4%. In December we announced the approval to purchase up to $200 million of our outstanding shares. During the second fiscal quarter we purchased approximately 3.6 million shares at a total cost of $64 million. Our net capital expenditures during the quarter were approximately $76 million or $273 million on a year-to-date basis. Last quarter we discussed our expenditures being towards the low end of a $250 million to $350 million range. Given recent news, business wins and product ramps, expenditures are now expected to remain in the range towards the higher end. A portion of these investments will bring online the first tranche of capacity in our Chengdu, China complex and additional business awards within our Nypro business unit. Please now refer to slide five where I would like to update you on our restructuring activity. During the second quarter we recognized restructuring related charges of $36 million, $28 million attributable to the wind down of the BlackBerry relationship. These charges reflect into some further reductions enforced and asset write-downs. Total cost-to-date associated with the activity are approximately $42 million of which $30 million is cash related. Our broader capacity alignment plan, announced in the third quarter of fiscal 2013, remains on track to deliver $65 million of benefit in fiscal 2015. As a reminder our plan outlined $188 million of costs to be recognized over a seven quarter period. Since its inception we have recognized $100 million of those costs with cash outlays to date of $38 million. The balance of $88 million of charges and $100 million of cash is anticipated to occur over the next three quarters. And finally for the third quarter our total restructuring charges are estimated to be in the range of $15 million to $35 million. I now ask that you refer to slide six and seven while I discuss our third quarter 2014 guidance. But before providing details around this guidance I would like to take a few moments to discuss the impact of taxes and the affect they will have on our second half of fiscal 2014 earnings. The core effective tax rate for the first half of our fiscal 2014 has been in the mid 20% range, but as we look out into the second half of fiscal 2014 we do anticipate that rates will increase substantially based upon the current forecast for the country mix of earnings. At this time we are forecasting our annual core effective tax rate to run in mid-50% range. As a result this will of course mean higher rates on a standalone basis in the third and fourth fiscal quarters. Core tax dollars remained as we had forecasted at the beginning of the fiscal year in a range of about a $100 million to a $110 million despite the lower levels of revenue and pretax core income that we are experiencing. The tax percentage increase is driven by two events, one operations in lower and zero tax rate countries will no longer generate near term profits at previously forecasted levels while some our incurring losses. And two we will continue to have profitable operations in countries like China and India. The taxes will continue to be incurred regardless of the profitability of your global operations. These events even in isolation will increase the corporate tax rate, when we do occur during the relatively short reporting period such as the second half of the fiscal 2014, with lower global earnings the tax rate becomes much higher than normal. In essence tax dollar remain relatively fixed in each of our third and fourth quarters and are estimated to be in range of $30 million to $33 million each quarter. In fiscal 2015 we expect our global tax rate to return to historic levels with an average near 20% plus or minus percentage point or two. Now turning to the specific guidance for the balance of the year. We expect revenue in the third quarter on a year-over-year basis to decline approximately 14% and to be in the range of $3.5 billion to $3.7 billion or at its midpoint consistent sequentially. The core operating income is estimated to be in the range of $20 million to $60 and core operating margins in a range of 0.6% to 1.6%. Interest expense is estimated to be $32 million and as noted tax dollars in the range of $30 million to $33 million. Thus we estimate the core earnings per share to be in the range of zero to negative $0.20 per diluted share. We also estimate the net GAAP earnings per share to be in the range of $0.74 to $1.4 per diluted share based upon our diluted share count of 202 million shares, thus reflecting the gain in sale of our aftermarket services business. We believe that the third fiscal quarter should be the turning point for operating income levels. Fourth fiscal quarter is currently estimated to have operating income levels, similar to those of the second quarter, interest expense in tax dollars to remain relatively consistent with those of the third quarter levels. Turning to our segments and year-on-year performance, the Diversified Manufacturing Services segment is expected to be consistent on a year-over-year basis. The Enterprise & Infrastructure segment is expected to decline 5% on a year-over-year basis. And finally our High Velocity segment is expected to decline 40% on a year-over-year basis, reflecting the wind down of our BlackBerry relationship. Excluding this relationship this segment is expected to increase 10% as a result of broad-based growth across automotive, printing, set-top boxes and point-of-sale. As a result of the revised operating income guidance and capital expenditure guidance for the balance of fiscal 2014, we now expect operating cash flow less capital expenditures to be in the range of $150 million to $250 million. I now like to hand the call back to Beth.
Beth Walters: Great, thank you, Forbes. Before we begin our question-and-answer I’d like to remind our call participants that in customary fashion out of respect to our customers we are not able to and we’ll not address any customers specific or product specific question. So we thank you in advance for your cooperation, Operator, we’d now like to begin the Q&A session with our sell-side analysts. Thank you.
Operator: (Operator Instructions). Your first question comes from the line of Mark Delaney with Goldman Sachs.
Mark Delaney – Goldman Sachs: Thanks very much for taking the question. Mark, I was hoping first, if you could elaborate a little bit more on your comments about having a good pipeline and what’s giving you the confidence to give EPS guidance for fiscal ‘15 at this point of the year?
Mark Mondello: Yeah. Sure Mark. It’s what we’re looking at right in front of us, Mark. I mean as I said in my prepared comments there is certainly risk to it, but we felt that like with the softness in the back half of FY’14 and Forbes and I debated long and hard about giving clarity and some color around FY’15. We have so much going on that we felt it was appropriate to offer up some color in ‘ 15 and I would just, I would tell you that in terms of our High Velocity business, in automotive, when I am looking at with our wearables and lifestyle business and then certainly the other parts of our MPG business and when I see what we got going on in development, that gave us the comfort to go ahead and give some color around FY’15. I think that along with everything we’re looking at in the development phase, when I look at the stability we are seeing in our core business, whether it be in the industrial sector, our E&I sector, our High Velocity sector the businesses is running well. And I think that things have been so tough for us in FY’14 because of the dramatic drop in a significant program as well as [hiving off], factoring in AMS that the weight of all of that on the business has been hard for people to get their arms around the fact that we got a heck of a good business, that we’re executing and running. So Q3 and Q4, I feel like better reflect that, but we feel pretty good about where we are headed in FY’15.
Mark Delaney – Goldman Sachs: Thanks for that color. For my follow-up question I was hoping you could clarify some of the assumptions in the fiscal ‘ 15 EPS guidance. I know you talked about planning to execute upon the $200 million repurchase. Beyond that $200 million repurchase, is there anything incremental from capital allocation that’s assumed in that, $1.65 to $1.95 EPS guidance or either further buybacks or M&A or debt reductions, is just that $200 million breakdown or is it additional capital allocation that you also need to get there?
Mark Mondello: In the assumption set described today there is no other additional capital allocation; it’s just the $200 million.
Mark Delaney – Goldman Sachs: Yeah, okay. Thank you and good luck.
Mark Mondello: Thank you.
Operator: Your next question comes from the line of Amit Daryanani with RBC Capital Markets.
Amit Daryanani – RBC Capital Markets: Thanks a lot. Good afternoon guys. Two questions, one, when you talked about your fiscal ‘ 15 guidance, one of the assumptions you made was you expect a solid recovery in the DMS business. Does that imply you think that business gets back to a $2 million run rate starting the November quarter, that’s what I think it was this year at least? And if so, maybe tell what gives you comfort, is that new program, the wearables started ramping or do you think so the headwinds you had last quarter, those have been resolved and that’s why you get back to the $2 million run rate?
Forbes Alexander: Yeah, it’s Forbes, let me take a swing at that. We’re not giving specific guidance, you mentioned the November quarter. So we’re not giving specific guidance by quarter, but certainly we were hit with dramatic demand declines in the December timeframe. So as we’ve been consistent in our messaging, I think over the last 90 days, we would expect to bring revenue back and to cover that capacity that we have in place. So without in dialing in specific I think you mentioned $2 million a quarter, certainly that’s the goal here as we move forward into ‘15, but we don’t even want to dial-in specific numbers. What is encouraging is we are seeing robust growth in terms of product award wins across, broadly across DMS, be that in healthcare and be that in wearables, be that in more direct in materials technology group and I think as noted in my prepared remarks, I am pleased to note that we are laying down and launching the first program in our Chengdu, China site. So it’s pretty broad-based and the goal here is that we do get our revenues in the back to this level when that [full] capacity is in place.
Amit Daryanani – RBC Capital Markets: Got it. And then if I just see the fiscal ‘15 guidance, I mean you guys have tried to provide longer term guidance in the past years and the final numbers have been a bit off the initial expectations right. What gives conviction, what you are seeing today that’s so different than what you saw the last two, three years when the initial guidance you gave on 18 months did not to pan out the way you guys thought it would be?
Mark Mondello: I don’t know exactly what guidance you are referring to, but I think you are being kind, if you are referring to about a year ago what we talked about. What we thought FY’14 would be around the $2.77 range and so one of the things that I gave a lot of thought to, before putting together my prepared remarks was okay we’ll say this in the following years because when we did this about a year ago, it wasn’t a small miss, it was a huge miss. But I, as I look at the business today and we could have a repeat of what happened last year, I just can’t imagine that first-off we are not going to sell any other parts of our company in the next 18 months, so there is not going to be another AMS. I can’t believe that we would had a drastic disengagement with our second biggest customer in the next nine to twelve months and I can’t contemplate a massive products snafu that we experienced, that we talked about in our December call. If those things don’t happen, I think the $2.77 holds up pretty darn close. So again as we look at the business today, I would caution everybody there is definitely risk in the assumptions. I ask you to contemplate through the assumption set that we talked about but it is illustrative of where I think the business is headed. Again we’ve got an awful lot of good things going on right now both in production and ramping towards production.
Amit Daryanani – RBC Capital Markets: Thanks a lot.
Mark Mondello: You’re welcome.
Operator: Your next question comes from the line of Wamsi Mohan with Bank of America Merrill Lynch.
Wamsi Mohan – BofA Merrill Lynch: Yes. Thank you. Mark, can you help us think through a little bit the 2015 guidance range, particularly in context of the $2.77 that you mentioned here. If you ex out the Blackberry and the AMS business I still get, sort of based on the prior levels of businesses, north of $2 numbers. So given what you are implying in 2015, does it mean that your largest customer is not back to full run rate or are you assuming some lower level of ongoing revenue from that business and I have a follow-up.
Mark Mondello: Thanks, Wamsi. Great question. So I think I don’t want to characterize our illustration our guidance is conservative. I think it’s very realistic. Let’s remember that we are coming off a year where we really took a hit hard on the decline of our DMS business. In addition to that we sold the AMS business which again I repeat, I think ends up being a great transaction for shareholders and then we end up with the disengagement of Blackberry. So if you think about the fact that it’s only been 90 days and then maybe a 120 days since a lot of this activity took place, we are running fast and running hard. The team has done a fabulous job. I will not want to have conversation with anybody inside the organization that’s just running around frantically trying to fill up assets with sub-optimal business. So the business that we’re seeing come back to load up different assets, whether it be the assets used for Blackberry or some of the other DMS assets is very well thought strategic business and some of that is also business that we anticipated over the long-term, based on certain product roadmaps. So when I think about all that, when I think about what we’ve been through, when I think about the fact that we went into fiscal year ‘14 with a revenue plan of about $19 billion to $19.2 billion and as we go into fiscal year ‘15 our revenue levels is going to be somewhat less. I would characterize our revenue as we sit today being in the $16 billion to $16.5 billion, $16.6 billion range something like that. We have infrastructure in our company in anticipation of the $19 billion business. When we disengaged with the Blackberry, when we realized we’re going to sell AMS and when we got the news around the DMS business we certainly have been working diligently to remove some of the structural cost but fundamentally I’m choosing to run the company with a little higher degree of structural cost because I think that’s the best to do longer term for the business and that’s providing a decent amount of disconnect for your question. So we’ll see what happens over the next couple of quarters and we hope in the June call and potentially the September call to give you some better clarity on the outlook for ‘15.
Wamsi Mohan – BofA Merrill Lynch: Thanks Mark, that’s helpful. As a follow-up, you mentioned incremental expenses, including automation for production process, some direct labor and prototyping engineering et cetera. And I’m here in Taiwan right now and I’m talking to some of your competitors who are adding C&C capacity at a pretty frantic pace, what are your assumptions around the utilization rates, as you go through with these ramps and more sustained longer term, because it seems like the industry is adding a lot of capacity on the automation side right now? Thanks.
Mark Mondello: Yeah, I’m not going to comment on that Wamsi. I appreciate you being over in Taiwan and seeing some of this first hand and I would – I don’t know what you’re looking at or where are you at, but it certainly will give you first hand appreciation of the scale and the complexity. And I do think that’s one thing working in our favor. This stuff is really, really hard and it requires a decent amount of CapEx and it requires a lot of scale from an infrastructure and an engineering perspective. So from kind of a barrier to entry this stuff’s difficult. I, again I don’t know what products you’re looking at or what production. I wish our competitors the best of luck. This stuff’s really hard and we’re keeping our head down and we know the roadmap and the volume that we have to provide over the next couple of quarters. So we’ll continue to focus on what we need to do and hopefully we can do it really, really well. And specific to your question Wamsi, as far as our yield rates and ramp rates and all that stuff it’s highly, highly dependent on programs and products that it varies greatly.
Wamsi Mohan – BofA Merrill Lynch: Thanks a lot Mark.
Mark Mondello: Sure.
Operator: Your next question comes from the line of Steven Fox with Cross Research.
Steven Fox – Cross Research: Thanks, good afternoon. I was wondering if you could just maybe talk a little bit of the cash flows going forward. If we were to look out at fiscal ‘15, would you expect the original ‘14 target of $650 million to $750 million of cash flow from operations to be achievable and secondly any further thoughts on use of proceeds from your sale of AMS and any thoughts on CapEx for next year? Thanks.
Mark Mondello: Thanks, Steve. I’ll take the AMS proceeds question and then turn the cash flow and CapEx question over to Forbes, although I think that’s going to be pretty opaque, because we have no intention at this point to give any discrete or finite information around cash flows or CapEx and the reason is not to be evasive, but we go through our budgeting process, this is a rarity for us to be giving this level of transparency in a March call for the next fiscal year. We don’t do our budgeting for FY’15 on a cash flow CapEx basis until the July timeframe. So I think it would be a little bit irresponsible for us to try to guess through that. We have enough visibility in the business going forward that we can give a personal indication on earnings and revenue and how that’s going to look but on the balance of it we’ve got a lot of work we have to do. On the proceeds from AMS we’ll make a decision, the good thing is we’re about a week away from closing that deal. I think the vast majority of that capital will kept in our balance sheet for a period of time and over the long-term I’d envision those proceeds being used for CapEx in the business, strategic CapEx and then we can decide if we’re going to give up a portion of that a relative modest portion for additional share buybacks. I characterize it this way, if we have the capital sitting on the balance sheet and there’s an opportunistic play for us to buyback additional shares where we think the shares are well below the intrinsic value of the company we may execute on that. Otherwise I’d like to kind of stamp on that and keep that capital as you move into FY’15. I do think that you can expect and again we’ll have conversations with our Board and what not in an appropriate fashion but every year we tend to do another tranche of buybacks and those buybacks tend to be in line with shares that we release around executive comp and you can expect that in FY’15. Anything above and beyond that we’ll have to kind of wait and see.
Steven Fox – Cross Research: Thanks Mark. If I can just sneak in a quick follow-up, just in terms of the cash flow. I guess what I’m trying to get at is how much – whether you’re having a level of confidence that the cash flow from this business can return to where it has been in the past, especially since we’re having trouble understanding and I’m having trouble understanding how much of the cash flow hit is associated with some of these start-ups and when that’s going to sort of level out and we can look at sort of a normalized cash flow, thanks.
Forbes Alexander: Yeah I think it’s fair to say that we can return to previous cash flow levels. There are multiple ramps occurring potentially between now and certainly into our first fiscal quarter which is on our November calendar timeframe this year but certainly if one looks at that midpoint of the gains range that Mark gave I think, that would certainly suggest that EBITDA levels are returning north of a $1 billion and the profit or cash I think that’s the reason why it will work in ‘15.
Mark Mondello: Yeah, maybe I can complement that with one comment too, as we’re looking to find what we think are intelligent pockets of reasonable growth a lot of those businesses they are just different than our historical businesses and I can tell you we don’t know we did it right, we certainly make plenty of mistakes but one of things we pay very close attention to is we’re not going to be out doing big pockets of development investments for returns that are kind of commensurate with legacy 2% EMS returns. So as I said in my prepared comments and again there will be some ebbs and flows to this, but any programs where we’re doing some upfront investment has to pass our hurdle rate inclusive of those upfront development cost and as from past conversations our weighted average cost per capital is 10% or 11% and we’re continuing to drive the company on an ROIC basis something north of 20, so all of these programs if you will fit squarely in that model.
Steven Fox – Cross Research: Great, thanks for the help.
Operator: Your next question comes from the line of Jim Suva with Citi.
Jim Suva – Citigroup: Hey thank you very much. A question or two for Mark and then followed by Forbes for different questions. But Mark if I do my math right in [roll out] fiscal sales am I right that sales for fiscal ‘15 are in the neighborhood of say 16 to 16.5 and if so, I guess the big thing is your largest customer gave you a lot of challenges recently and it seems like that a long ways away to actually get firm orders from a customer like that. So I guess the question is what give you the confidence or do you actually have firm orders for fiscal ‘15 from the customer like that or are we potentially looking at hopes or desires and we could see some risk associated with that? And then for Forbes, a couple of questions, one is customers above 10% how many and what percent are segments? And what about debt covenants? Now that Jabil is not making money next quarter. So do you think it did beat the debt covenants or if you includes the sales and the gain in your debt covenant or is it like a trailing 12 months or 24 months with debt covenants or should we be mindful of anything there? Thank you.
Mark Mondello: Hi Jim I’ll go first and hand it over to Forbes. So I can assure you that we absolutely would not be providing clarity and color around FY ‘15 based on hopes and desire. So it is about roadmaps I don’t think we have a single customer today that across any of our portfolio which gives us firm demand. We certainly work out for road map and forecast and with all of our customers, that ebbs and flows but that’s kind of the process. So if we take all the information we have today whether it be in DMS or E&I and High Velocity we aggregate that up we risk adjust it and then we look at the activity that’s going on in the companies today combining that with the assumptions that I outlined in my prepared comments that’s how we frame out our outlook for FY ‘15.
Forbes Alexander: And Jim we had one 10% customer in the quarter and that’s within our DMS segment. And then with regards to your question around bank covenants or debt covenants yeah we do have. And that’s in our trailing twelve months debt-to-EBITDA covenant. So the company is in good shape. I think we executed on the trailing, it’s a little tick over two times and our covenant is at 3.5 times. And even they were guiding to suppress core operating income levels in the back half of this fiscal year we still expect to generate $160 million to $170 million of EBITDA in each of the next two quarters. So now as we exit the fiscal year we’ll be around of like 2.5 to 2.7 times is my estimate, so plenty of cover there and plenty of rumors as we move forward.
Jim Suva – Citigroup: Great, and was my math right that total fiscal sales kind of 16 to 16.5 is where you roll everything up and then risk adjust it to?
Mark Mondello: Yeah that’s correct.
Jim Suva – Citigroup: Thanks guys.
Operator: Your next question comes from the line of Amitabh Passi with UBS.
Amitabh Passi – UBS Investment Bank: Hi thank you. Mark my first question was on the E&I segment. I mean the segment continues to remain somewhat challenged. I was wondering what’s your expectations and outlook, are there any plans to may be further right size and restructure that segment because it looks like operating income again that below 3% this quarter so love to get your thoughts around that.
Mark Mondello: Sure, that segment of our business is really, really well optimized the cost structure what I would kind of say is tight and right. The team is incredibly efficient. The issue around margins there is a very little to do. If you think about Jabil we’ve got about 13 different operating units that operate pretty much independently. We roll them up into the three sectors that we report. So we keep an eye on the cost structures and the independent overheads in each of those sectors. What E&I is suffering from right now is the additional absorption of the corporate cost. You can imagine in the back half of the year including Q2 we’ve got BlackBerry coming out we’ve got AMS coming out, the combination of both of those and then with the drastic fall in our DMS space it’s just corporate absorption. The business itself is running great and the team is superb.
Amitabh Passi – UBS Investment Bank: Okay that’s helpful. And then I guess you had a lot of moving parts. I am just wondering as we look over the next two, three, four quarters how should we be thinking about seasonality. Should we expect kind of sorts of the same season patterns we’ve seen in the past where you start to ramp in August and November tends to see a nice sequential uptake or could it even be better just given the fact that DMS is so depressed right now just any help you can give in terms of just the seasonal ebbs and flows?
Mark Mondello: Yeah, we are not going to talk about quarters but I would say that based on the fact that we are coming out of a trough, as we go Q3, Q4 and into Q1 the upstream there will be bigger than usual would be my guess and then as we get into fiscal year ‘15 I would see a pattern of similar seasonality that you’ve seen in the past although we continue to work hard and try to damp in that with continued diversification. The one thing that made me a little bit sad on your comment initially is I recognized the gyrations we’ve put you guys through in the last year, year and a half and I wish we hadn’t. I think we’ve made some great decisions for the long term of the business and we’ve made some good decisions both in the sale of AMS and some of the other decisions we’ve made with Blackberry and others and I do understand that we’ve made it complicated and hard to understand. Our goal is going forward to do our best to try to simplify that for you.
Amitabh Passi – UBS Investment Bank: I appreciate that and then maybe just one final one from me. Your largest customer was about 19% of sales. As you look at fiscal ‘15 do you expect your business to be more diversified with may be slightly less concentration or you are quite comfortable even with those relative concentration?
Mark Mondello: Hang on. Yeah, I think we’ll talk more about that as we get closer to the fiscal year.
Amitabh Passi – UBS Investment Bank: Okay, all right appreciate it.
Mark Mondello: Yeah, thank you.
Operator: Your next question comes from the line of Brian Alexander with Raymond James.
Brian Alexander – Raymond James & Associates, Inc.: Thanks most of the questions have been answered just may be a clarification. Did you say that the core operating income for fiscal ‘14 would be $30 million to $320 million? I just wanted to clarify that because if so it implies that Q4 op income would actually be flat to down versus Q3 assuming you come in at the midpoint of what you guided to for Q3. But I think you also said that it would be flat versus Q3.
Mark Mondello: Yeah Brian I think the math on that is just illustratively. I think what I said is the assumptions Forbes and I made for fiscal year ‘15 is we would deliver $300 million to $320 million of core up for FY ‘14 but that was adjusted for removal of AMS and Blackberry. So if you take AMS and Blackberry out of what we are actually going to do in fiscal year ‘14 as we sit today I think Q4 will be flat or up from fiscal Q3.
Brian Alexander – Raymond James & Associates, Inc.: Okay. So I think you also said it would be equal to Q2 that I just want to make sure I heard that right.
Mark Mondello: You heard that right.
Brian Alexander – Raymond James & Associates, Inc.: Okay yeah. And then you give in a lot of detail on the outlook for fiscal ‘15 in terms of revenue of $16 billion plus. Just wanted to clarify that you are also suggesting the operating margins in each of your business segments, will they get to at least the low end of your long term targeted range. Is that kind of implied in your guidance? And then with respect to the restructuring benefit of 65 million are you assuming all of that close to the bottom line?
Mark Mondello: I would say that in our long term margin ranges, I don’t know that we’ll get to the bottom end of all the ranges early in the year, we’ll see. And it has nothing to do with the health of the business whatsoever. It has to do with what I talked about little bit earlier Brian which is we’ve got an executive structure and a corporate structure that was going to support $19 billion. We pealed a lot that cost out and that independent of that restructuring that we are doing. So we’ve reduced that and I don’t want to get your Coney and then start cutting too hard because we have other areas of our business and other opportunities. So if we don’t get to the low end of the ranges and again we’ll give more color on this as we get closer to the fiscal year, it won’t as I sit today it’s not expected to be because the business isn’t healthy, it’s expected because there might be 10, 20, 30 basis points based on additional overhead. If that turns out to be the case, you can expect and holds Forbes and I accountable for walking through and explaining that.
Forbes Alexander: And we do expect $65 million Brian of restructuring benefit to hit flows directly to the bottom line in ‘ 15.
Brian Alexander – Raymond James & Associates, Inc.: Okay. And then just a final one. But I think the answer is no. Are there any changes in your thought process about the long-term profit model in return on capital of DMS and more specifically the material technology group, given the volatility you’ve seen in the business, the capital intensity, the competitive landscape changes that I think somebody had alluded to earlier on the call? Any changes at all to the long-term outlook and is this still a business that you plan to focus on growing longer term?
Mark Mondello: It’s a business that we’re focused on for sure Brian and I would say that in the Analyst meeting in Boston, we took the margin range for that down by 50 basis points I think 5% to 7%. We still feel good about that as a range and it’s still a business that we’re spending a lot of time focused on. So as we sit today it’s a business that continues to being encouraging to us.
Brian Alexander – Raymond James & Associates, Inc.: Okay, all right. Thanks a lot Mark.
Operator: Your next question…
Beth Walters: Operator, we have time for just one more call today.
Operator: Okay. Your last question comes from the line of Matt Sheerin with Stifel.
Matt Sheerin – Stifel Nicolaus & Company, Inc.: Yes. Thanks for getting me in. So question Mark just on those incremental investments. I just want to clarify is that primarily targeted at your largest customer in that segment and is that largely related to cost of goods that will pressure our gross margin versus SG&A?
Mark Mondello: I won’t talk about who it’s for. We’ve got about a dozen different things going on, certainly our biggest customers playing in that and actually I would think about it the reciprocal of what you stated, which is there is different terms we have for all kinds of different programs. And to the extent if you think about my prepared comments which we’re talking about kind of costs all-in, exceeding our hurdle rate or at least meeting our hurdle rate. If I have a certain program where the terms are, I don’t need to worry about the cost or the customer covers those cost, then maybe that ends up dampening my margin a bit and maybe that ends up having an impact in production longer term as far as either COGS or pricing. If I have a program that’s complicated and we decide to make the investments then there needs to an appropriate margin return on that through the production life for the program to make sense. So we have all different models going off at the moment and again I would think of it as the more risk and/or development that we’re either participating in and/or paying for upfront, probably has better returns over the long term in production and the opposite is that it holds as well.
Matt Sheerin – Stifel Nicolaus & Company, Inc.: Okay, great. And then just lastly again on that E&I segment, I am little surprising at the miss considering that management found it fairly optimistic during the quarter on that business. Could you give us more color on exactly what you saw and you are guiding up sequentially or you are seeing some recovery in that business?
Mark Mondello: Yeah. Matt, no, you are right. We were surprised late in the quarter with some declines in demand levels that came through mid or late February, I remember our quarter ends is February. And again in my prepared remarks had talked about that our really an enterprise spending and we’re continue to see strength in terms of LTE and 4G and we do have some customer base there also. We are guiding up sequentially, you are absolutely correct, $50 million to $100 million, but I think majority of that is certainly based around the strength in LTE.
Matt Sheerin – Stifel Nicolaus & Company, Inc.: Okay, thanks a lot.
Mark Mondello: Okay.
Beth Walters: Thank you all for joining us on the call today. Our apologies to Deutsche Bank and Longbow Research. Promise you will get at the top of the list on our next earnings call, but thank you all for joining us today. We are available here throughout the rest of the evening and week for any follow-up calls that you have. Thank you again for joining us.